Operator: Hello and welcome to SelectQuote’s second quarter fiscal year 2023 earnings conference call. My name is Dru and I’ll be your operator today. If you would like to ask a question during today’s call, please press star followed by one. If you change your mind, please press star followed by two. I would now like to turn the call over to Matt Gunter, SelectQuote Investor Relations. Please go ahead.
Matt Gunter: Thank you and good morning everyone. Welcome to SelectQuote’s fiscal second quarter earnings call. Before we begin our call, I would like to mention that on our website, we have provided a slide presentation to help guide our discussion. After today’s call, a replay will also be available on our website. Joining me from the company, I have our Chief Executive Officer, Tim Danker, and our interim Chief Financial Officer, Ryan Clement. Following Tim and Ryan’s comments today, we will have a question and answer session. As referenced on Slide 2, during this call we will be discussing some non-GAAP financial measures. The most directly comparable GAAP financial measures and a reconciliation of the differences between the GAAP and non-GAAP financial measures are available in our earnings release and investor presentation on our website.  Finally, a reminder that certain statements made today may be forward-looking statements. These statements are made based upon management’s current expectations and beliefs concerning future events impacting the company and therefore involve a number of uncertainties and risks, including but not limited to those described in our earnings release, annual report on Form 10-K, quarterly report on Form 10-Q for the period ended December 31, 2022, and other filings with the SEC, therefore the actual results or operations or financial condition of the company could differ materially from those expressed or implied in our forward-looking statements. With that, I’d like to turn the call over to our Chief Executive Officer, Tim Danker. Tim?
Tim Danker: Good morning everyone and thanks for joining us. We’re pleased to share a strong set of results for our fiscal second quarter. As you know, we previewed our outperformance in a pre-announcement earlier this year. As we noted in that release and will speak to today, the most important takeaway is the tangible reinforcement we have observed in our strategic redesign. We firmly belief SelectQuote has optimized their senior segment to drive the right balance of profitability, cash efficiency and growth. Better yet, we believe the strategy is repeatable in a range of future Medicare Advantage seasons. We will speak to our observations and execution in AEP, but as you’ve seen from carriers and our peers, it was a successful season which certain benefited SelectQuote as well. That said, the majority of our outperformance was not simply market driven but was instead achieved through strategic changes we’ve made to our operations and the resulting efficiency of our agents and marketing. Overall, we’re very proud of our team and there’s a lot of excitement within the organization about the ability to leverage our strategy in the future. With that, let’s review our consolidated results and highlights for the quarter on Slide 3. First, SelectQuote has now achieved four consecutive quarters of incremental improvement in the key performance indicators for our senior business. As we’ve said over the past year, we will not declare victory but instead strive to continue and accelerate this positive trend in the years ahead. What we can state definitively, though, is our conviction that this redesign strategy is the way to succeed in the future. For the fiscal second quarter, our strategy produced excellent results, specifically a 64% year-over-year growth in consolidated revenue and a $228 million year-over-year improvement in adjusted EBITDA, or $83 million excluding the negative adjustment for LTD taken in fiscal 2022.  In our senior segment, revenue growth in AEP was stronger than originally expected based predominantly on higher volume of policies, which were well ahead of our projections based upon much stronger agent close rates. To be clear, SelectQuote did not buy additional growth but instead acquired leads according to plan and converted those leads at much improved close rates compared to previous seasons.  As a result of higher volume, we grew faster on the top line, but the significant improvement in adjusted EBITDA and senior EBITDA margin of 37% for the quarter was really driven by expense efficiency, not volume growth. Additionally, we have observed stability and policyholder persistency thus far in AEP as LTDs came in above our expectations and our unchanged full-year $875 LTD forecast implies sequential improvement over the back half of the year. The annual renewal event has been similar to last year despite a much more favorable selling environment, this AEP from a policy feature perspective.  We also continue to see improving trends on both policy approval rates and early life retention results, which we largely attribute to the enhancements we made to our sales and marketing strategy in the spring of 2022. Put simply, we’re increasingly confident in the visibility of policyholder persistency and our booked LTVs, which is another key requirement in our mission to deliver predictable profit and growth for our shareholders.  Lastly on 2Q results, we had another strong quarter of growth in our healthcare services segment, which grew revenues and Select Rx members by $44 million and 411% respectively over the last year. As a strategic update, we’ve decided to slow member growth and prioritize profitability and cash flow given the positive feedback we’ve received from investors about our focus on margin stability and cash flow across the overall SelectQuote enterprise. To be clear, the growth opportunity for Select Rx remains massive and we intend to pursue that market in the future. We currently believe it’s prudent to prioritize operational efficiency and drive cash flow over volume and market share growth. Next, our results today and growing confidence in our strategy prompted a $20 million increase at the midpoint of our full year outlook for fiscal 2023 adjusted EBITDA compared to guidance introduced on our fiscal year end 2022 call. Specifically, we now expect adjusted EBITDA in a range of $5 million to $25 million based on a consolidated revenue range of $910 million to $960 million.  The increase in our outlook is predominantly driven by our senior business, but you will note that the full EBITDA outperformance for the second quarter does not flow through the full year range. The key driver for that is our decision to pull forward core senior agent hiring for the 2024 season based on the success of our strategy. This will be a modest drag on our fourth quarter results compared to previous seasonality, but we believe it will be outweighed by the benefit in the 2024 selling season. Ryan will provide more detail on the cadence of our outlook, but beyond the benefit to 2024, our strategic intent is to make more and more SelectQuote’s offering a year-round business with reduced impact from Medicare Advantage seasonality. Lastly, it’s important to point out that our cash flow projections for 2023 are ahead of our internal forecasts and we’re increasingly confident in our ability to drive positive cash EBITDA for the full fiscal year 2023. Overall, we’re very pleased with the progress to date but remain committed to delivering continued improvement and believe we have the strategy and unique business model to continue our momentum into fiscal 2024 and beyond. With that, let’s turn to Slide 4, where I’ll provide more color on the AEP season and how SelectQuote succeeded strategically. As we noted over a year ago, our strategy for senior is now focused on unit-level profitability rather than growth, which we believe can be successful in a wide range of AEP environments. AS you’ve heard from carriers and will hear from us, this AEP was materially better from a selling perspective compared to a year ago. While a favorable AEP helped everyone this year, the major achievement in our senior EBITDA and margin expansion was driven more by our strategy to deploy a higher mix of tenured agents and supply them with more targeted, high quality leads - unit economics and cash flow over growth, to put it simply. As you can see in the diagrams on this page, our strategy worked extremely well across the two major input costs for our senior business: agent close rates and marketing or customer acquisition. First on agents, as you know, our strategy coming into this AEP season was to hire agents earlier and work with a higher mix of tenured core agents compared to flex agents. Specifically, the mix of core agents is over 70% this season compared to around 20% last season. In the past, core agents have had significantly higher close rates and policy productivity compared to flex agents, and this season that pattern held and actually improved. Agent close rates this AEP season were up 54% compared to last year.  Again, to be clear, the improvement was predominantly driven by agent mix and lead quality compared to the plan design features in this AEP versus last, and while we focused on better quality this AEP, we believe there is still a significantly large market to grow our business in the future. This was evident even this AEP as our tenured agents drove higher close rates, which created more policy volume than expected on our budgeted marketing and lead spend. Now if we move down the page, you can see a significant reduction in our marketing cost per approved policy, which were down 50%. Much of this improvement is explained by the close rates of our agents, but SelectQuote also prioritized the most optimal marketing channels based on lead quality and cost. The end result was a strong senior EBITDA margin of 37% for the quarter and significantly improved cash efficiency in the policies book compared to recent years. Ryan will present views on each of those KPIs later in our remarks. Put bluntly, a strategic focus on operating leverage was exactly what our senior business needed, and we’re thrilled with the execution of our teams in the season thus far. If we turn to Slide 5, I’ll quickly review the key pillars of our strategy, especially for investors that are new to our story. To begin, the overarching goal for each of these pillars is to optimize unit and enterprise-level profitability and cash efficiency over growth. We’re a year-plus into the deployment of the strategy, and as you saw from our results this quarter, we believe there is significant upside potential to scale growth without sacrificing operating leverage. To start on the left side of the page, the first pillar in this strategy was to temper growth with the intention of significantly improving margins and cash flow for the volume of Medicare Advantage plans marketed and sold through our operation. As I just reviewed on the previous page, we were highly successful driving margin across both of our major operating expenses, agents and marketing.  On this point, I would add just two things. First, we believe there’s more progress to be made, which we’ll highlight later as we talk a little about the year ahead. Second, I would also point out that our ability to drive margin is not entirely dependent upon agent and marketing efficiency. We’re focused across the organization to drive as much return and cash flow on costs as possible. We now move to the right. A related tenet of the strategy was to reduce operational risk, our cost leverage in our senior distribution business. The ultimate goal here is to reduce the variability in our results in a range of market scenarios or Medicare Advantage seasons. Ryan will provide more detail here as well, but we believe SelectQuote has improved considerably in three main ways thus far. First, the earlier on-boarding and higher mix of tenured agents improved throughput efficiency and marketing cost per approved policy. Second, overall costs, both fixed and variable, have improved this season, and lastly SelectQuote has become meaningfully more cash efficient and we are confident in our ability to grow positive cash EBITDA in fiscal ’23 and beyond. Next on the third pillar, we’ve talked for much of the last year about policyholder persistency and the lifetime value we book on policies sold. Similar to SelectQuote’s operating leverage one season to the next, we want investors and analysts to expect stability in LTV and, as a result, we took significant actions to right-size our assumptions a year ago. To review, those included an increase in our constraint from 6% to 15%. Additionally, the strategy to prioritize the best Medicare Advantage business has also improved observed policyholder persistency, and overall we’re pleased with the strong improvement in both approval rates and 90-day active rates thus far this season. To summarize, we believe we’ve taken significant action to minimize adjustments to previous cohorts, and we’re also seeing stabilization in policyholder behavior compared to the changes to the industry over the past few years. Lastly, while much of this quarter’s story is about the improvement in our senior Medicare Advantage business, SelectQuote continues to succeed in our healthcare services segment primarily driven by Select Rx. Ryan will provide detail here as well, but our Select Rx business grew members by about 20% over last quarter and 411% compared to a year ago. Currently, the platform has over 39,000 members, which is remarkable for a business that began less than two years ago. As mentioned before, in keeping with our company-wide goal to accelerate profitability and cash flow, we’ve made the decision to slow our growth in Select Rx members. As a reminder, the Select Rx business is very cash efficient compared to Medicare Advantage policies. The main takeaway here is that our healthcare services segment and Select Rx specifically are poised to be an increasing contributor to profitability and cash flow in the near future. For healthcare services, we continue to approach EBITDA breakeven by year end and we’re excited about the continued ramp in the years ahead. If we turn to Slide 6, let me give some more detail on how our strategy has improved our operating leverage and cash efficiency. First on the left-hand side of the page, you can see the significant improvement in our operating expense per approved policy, which includes the two major costs of our business, agents and marketing. As you can see, the aggregate impact was a 41% decline year-over-year, which drove the majority of our outperformance on EBITDA.  While 41% is a significant number, it’s worth noting that last year was also meaningfully inefficient given the industry-wide challenges. That said, the important takeaway from both the year-over-year and LTM views is that our strategy is producing policies at a cost that drives very attractive returns and what we believe are sustainable margins. Additionally, we’re delivering the volume and returns on lower LTVs. Again, the confidence in our strategy is high and we’re excited about the leverage and stability that we can repeat and expand upon in future seasons.  If we turn to the right side of the page, we want to emphasize that the story isn’t just about margin but also about cash efficiency, which Ryan will detail as well. In these charts, you can see the impact of both new carrier commission structures and the mix shift to more cash efficient policies. Specifically, SelectQuote receives 64% of the expected senior revenues in the first year. As Ryan will show in a few pages, this has accelerated our payback period to just over two years. For reference, this payback period is better than the projections we spoke about during our IPO and again on lower LTVs. It’s hard to overstate how meaningful that is for our business and combined with the leverage we can drive on the same marketing dollar with healthcare services, we’re very encouraged about the potential cash generation of our holistic platform. With that, let me hand the call over to Ryan to review our segment results and double-click on a few of the key takeaways from our execution over the quarter. Ryan?
Ryan Clement: Thanks Tim. Let me begin with a quick review of our consolidated results, then I’ll review our segments and provide the detail for our senior business that Tim alluded to. Our consolidated results were quite strong with revenue totaling $319 million for the quarter, driving consolidated adjusted EBITDA of $64 million. Across the board, our results were ahead of expectations but most notably in our core senior division. As I’ll review in a moment, our healthcare services business weighed modestly on consolidated EBITDA with a drag of $9 million, but importantly the profit improvement was on a lower level of sequential revenue growth. We are pleased with the scale and remain on a path to approach breakeven by fiscal year-end.  It is worth reminding investors and analysts that AEP is our heaviest cash use season. For context on our cash position, as of January 31 we had $96 million of cash-on-hand with zero drawn on our revolving credit line. This compares to a cash position of $36 million as of December 31, where we also had zero drawn on our revolving credit line. Most importantly from a capital and liquidity perspective, the business is in a significantly stronger position than it was a year ago, and we are well situated to drive continued growth in cash efficient profitability, which is certainly helpful when speaking with capital providers as we plan for the years ahead.  With that overview, let me turn to Slide 7. Clearly we are very pleased with the outperformance produced in our core senior division through AEP. Senior revenue grew over 50% year-over-year to $224 million, and as I will detail on the next slide, we were able to drive that growth on a lower volume of approved policies booked in the quarter compared to last year.  The primary driver here was twofold. From a volume perspective, as Tim mentioned, the close rate and cost efficiency we gained through our strategic redesign allowed us to on-board more policies than we originally intended. The 18% year-over-year reduction in policies this quarter put us well ahead of our original outlook for a 35% to 45% full year decline in MA policy volume.  Now, the natural question is how we booked more revenue on lower volume with lower LTVs. The key driver, as you know, was the adjustment taken last year for lower persistency in legacy cohorts, and as Tim detailed, the more exciting result was the significant improvement in our profitability driven by our strategic redesign. SelectQuote delivered senior adjusted EBITDA of $84 million, which represents a 37% margin.  Turning to Slide 8, let me review the KPIs of our senior MA business. On the left, our volume of approved Medicare Advantage policies declined 18% to 219,000. The decline, as Tim noted, was lower than our original plan given the strong agent close rates. Moving to the middle chart, we reiterate that SelectQuote is committed to driving profitability and cash return over growth. The better growth this season was again dictated by achievable returns and not by achievable or available volume.  As you can see here, the recent quarter drove adjusted EBITDA margin in senior of 37%, which is actually better than historical peaks when adjusting for LTVs as we did over the past year or so. As noted before, we are achieving these margins based largely on strategic decisions to increase agent efficiency and drive optimal cost per policy.  Which brings us to the chart on the right, where LTVs for the quarter were in line with our expectations of $870 and we remain confident in our full year expectations for fiscal 2023 LTVs to average $875. On the next page, I’ll provide more context on our comfort and strategic actions for LTV. If we turn to Slide 9, let us give some context on the driving factors behind LTV. For reference, I’ll group the impact into two categories. First are changes to LTV driven largely by strategic decisions we made in the season. The first factor in this category is carrier mix, where we sought to target the best quality volume. Without speaking to specific carriers, our work here was to rigorously review and prioritize observed persistency, so while the average LTV of the policies approved in AEP were lower, we believe the quality is much higher. Moving to the second driver, recall that we have a mix of our policies that come to us directly from carrier pods compared to our typical shopping environment. In this case, the benefit to SelectQuote is cash efficiency as the commission structure is more front end loaded and the cost to generate these policies is often lower.  In the second category, we outlined three factors that we’d define as market or accounting level driven. First, industry commissions increased year-over-year, which drove a $6 tailwind for LTVs. Second, for observed market persistency, we saw a modest year-over-year improvement; in fact, observed LTVs came in ahead of expectations and our unchanged LTV forecast of $875 implies higher LTVs in the second half of 2023. Put another way, absent the strategic decisions and lag from accounting, our LTVs would have increased in 2Q. To be clear, we are not calling for a bottom or declaring victory on LTV, but in a season where policy features drove more shopping decisions, we are very encouraged by the stability we are seeing in the market.  Lastly, as noted, our LTVs are accounted for based on a three-year look-back model which drove a modest but shrinking LTV headwind as persistency stabilizes, so again, without a major declaration on the future of LTVs, we would point out that market factors outside of our strategic decisions would have driven a modest increase in LTVs compared to last year, which we hope is helpful context for investors. If we now flip to Slide 10, let me provide one last piece of context about the strategic redesign of our senior MA business and our improvement in cash efficiency. In these charts, we break down the components and timing of the cost to produce policies and the same for the cash timing of the resulting revenues. As you can see in the stacked bars at left, it took the first year and first renewal just to cover the variable cost to produce those policies, then it took the second renewal and a significant portion of the remaining tail of renewals to cover our fixed costs.  As we noted, 2021 was a challenging year, so clearly there was not much margin or cash efficiency in this cohort. Fast forward to our last 12 months, which include this AEP, and SelectQuote’s re-focus on a higher mix of tenured agents and targeted business in combination with more favorable commission timing has significantly improved margin and cash efficiency for senior. As you can see on the charts at right, despite lower LTVs, SelectQuote has been able to cover all variable costs with first-year cash, and essentially all costs, variable and fixed, by the second renewal. To put this a different way, we believe the cash breakeven improves in MA policy is now just over two years, which actually compares favorably to our expectations at IPO, which assumed higher LTVs than where we are operating and scaling against today.  As Tim noted, we have high conviction that this strategy is repeatable and sustainable in a range of selling seasons. To that point, the last piece of data I would call your attention to is the percent of fixed cost relative to total revenue improved by more than 400 basis points, which gives us confidence in the sustainability of our strategy as we now have increasing control of our operating leverage. Let’s now turn to Slide 11 and speak to our other segments. First on healthcare services, as Tim noted, we have shown dramatic growth in members for our Select Rx business. We know the market opportunity is significant for this business and believe our unique connectivity with this population of customers remains a competitive difference maker. We are also committed to near term profitability in this segment and as you can see on the right-hand chart, we made sequential improvement on adjusted EBITDA, which improved to a $9 million loss versus a $12 million loss in Q1.  Lastly, as Tim mentioned, we will balance the growth opportunity with profitability in the near term but remain confident in approaching breakeven on adjusted EBITDA by fiscal year end, which positions us very well for healthcare services to be a more meaningful contributor to profit and cash efficiency in fiscal 2024. Now if we flip to Slide 12, I’ll briefly highlight that the strategic elements we discussed in senior are being applied across SelectQuote, and our strong results in life and auto and home exhibit that effort as well. While year-over-year revenue expanded more than 10% for these businesses, the more meaningful impact can be seen in the four-fold increase in our adjusted EBITDA over that period. Lastly, our full year adjusted EBITDA range is now $5 million to $25 million, which is $5 million higher at the bottom end of the range and also includes some of the strategic agent hiring drag expected in the fourth quarter as we prepare for the 2024 season. In summary, a good first half of 2023 and we look forward to sharing more about how SelectQuote can scale these results in the future. With that, let’s get to your questions. Operator?
Operator: Thank you, we will now start today’s Q&A session. [Operator instructions] Our first question today comes from Daniel Grosslight from Citigroup. Your line is now open.
Daniel Grosslight: Hi guys, congrats on the strong quarter here, and thanks for taking the question. You had a nice improvement in revenue to CAC. How should we think about unit economics going forward given your renewed focus on profitability? Is that three times multiple the right multiple, or do you think we’re going to see some degradation there as you hire earlier for future AEPs?
Tim Danker : Yes Daniel, good morning, this is Tim. Great question. I’ll take that and see if Bill Grant, our COO also has some comments. But I would say overall, we’re very pleased with the progress we’ve made over the last four quarters. Certainly the AEP environment kind of accentuated those results, and we certainly believe the changes we’ve made across both marketing and our agent plan have really set us up for very durable results moving forward. We’re very proud of the 37% margins in senior and certainly we think this is indicative of a step function improvement in our model, and we certainly believe that is something that we can continue to focus on. As you can tell from the tone of the call, we’re very much focused on improving our unit margins, which we think we’ve done this quarter. I think our full year guide also implies improvements in our unit profitability and cash efficiency. Bill, any comments you want to make with respect to broader marketing as we look forward and rev to cap?
Bill Grant: Yes, just other than I think we feel optimistic to keep that gap moving in the right direction and that the market dynamics are such that we feel like we’re poised to do that, both with the global market as well as the positive changes that we’ve made internally in terms of how we’re appropriating the market.
Daniel Grosslight: Yes, that makes sense. On liquidity, you’re ahead of expectations in terms of cash, but at least in my model, it seems like you’re going to need to fund yourself externally in some manner over the next year or two, whether that’s drawing on the revolver or new debt, etc. Can you just comment on your liquidity needs over the next year or so and how you intend to fund yourself in the near term?
Ryan Clement: Yes, sure. I’ll take that. We are well ahead of our cash plan. As we alluded to, we had $36 million as of 12/31, nothing drawn on the revolver, and approaching $100 million at this point in the year, so we are well ahead. Obviously operational results put us in a great spot. We are actively in discussions with our lenders. That said, our current capital structure as it exists gives us adequate runway for the duration of calendar year 2023, so we’re in a great spot but we are actively engaging with our lenders on a more permanent solution with regard to the capital structure. 
Daniel Grosslight: Got it, appreciate the color. Thanks guys.
Operator: Our next question today comes from Ben Hendrix from RBC. Your line is now open.
Ben Hendrix: Hey, thanks guys. Just a quick question on LTV dynamics that you mentioned on Slide 9. With strategic decision making and resulting shifts in carrier mix accounting for most of the year-over-year LTV decline, should we think about the current LTV in the $875 guidance as representing kind of a permanent re-basing, to a certain extent, versus year-ago levels? To follow that, where do we think LTV could go under the current strategy, and how should we think about the pacing of recovery given your methodology and as we move into next year? Thanks.
Tim Danker: Thank you Ben, this is Tim. Great question. I’ll address it, and maybe ask Ryan to also speak to it.  We certainly wanted to provide increased transparency here on this particular slide that you’re referencing. LTV, clearly an important metric, not the only metric that’s out there. We are managing the business across broader policy economics. LTV is one of those factors, the cost to acquire the policy, approval rates, first year revenue re also other factors, so strategically, as we’ve mentioned, very focused on cash and profitability and prioritizing, really, kind of end-to-end total policy economics over just LTVs. Before Ryan speaks to LTVs, I do think it should be noted the significant progress we’ve made with respect to our operating cost per approved policy. We shared both results for the quarter-over-quarter and LTM basis that really have brought this down materially while we continue to work and improve LTVs.  Ryan, on the LTV front?
Ryan Clement: Yes, I guess the only thing I would add is LTVs did exceed our internal expectations for 2Q. We do still expect full year FY23 LTVs to come in north of or at $875, and furthermore continue to be encouraged by the trends we’re seeing with respect to retention and leading indicators.
Ben Hendrix: Thanks guys.
Tim Danker: Thank you Ben.
Operator: Just to reiterate, if you would like to ask a question, please press star followed by one on your telephone keypad now. If you change your mind, please press star followed by two. We have no further questions at this time, so I’ll hand you back over to Tim Danker, CEO for closing remarks. 
Tim Danker: Thank you Dru. Well, thanks everyone for joining. We certainly look forward to seeing many of you at conferences on the road in the coming months.  To conclude, we’re very pleased with the progress and proof points of our strategic redesign. While we’ve had success for four straight quarters now, we will continue to anchor our responsibility to delivering consistent results and profitable growth for shareholders. We’ll share more as the year progresses, but suffice it to say we have a lot to look forward to across all of our business lines.  Again, we thank you for your participation. We look forward to speaking to you again next quarter. Have a good morning.
Operator: Thank you for joining SelectQuote’s second quarter and fiscal year 2023 earnings conference call. You may now disconnect your line.